Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Birchtech Fourth Quarter 2024 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions for dial in participants. This conference is being recorded today, March 31, 2025 and the earnings press release accompanying this conference call was issued after the market closed today. On our call today is Birchtech President and CEO, Richard MacPherson; and CFO, Fiona Fitzmaurice. Before we get started, I will read the disclaimer about forward-looking statements. This conference call may contain in addition to historical information. Forward-looking statements that are made pursuant to Safe Harbor provisions of the U.S Private Securities Reform Act of 1995, or forward-looking information of their applicable Canadian Securities laws regarding Birchtech. Forward-looking statements include, that are not limited to statements that express the company's intensions, beliefs, expectations, strategies, predictions or any other statements relating to its future earnings activities, events or conditions. These statements are based on current expectations as soon as and projections about the company's business based in part or on assumptions made by management. These statements are not guarantees of future performance, and while risk, uncertainties and assumptions that are difficult to predict. Therefore actual outcomes and results made and are likely to differ materially from what is expressed or forecasted in the forward-looking statements, due to numerous factors discussed from time to time at Birchtech's periodic filings with the U.S securities and exchange Commission or Canadian securities regulators. In addition, such statements could be affected by risks and uncertainties related to factors beyond the company's control that may cause actual results to differ materially from those in the forward-looking statements. During today's call, the company will discuss adjusted EBITDA, a non-GAAP financial measure. Adjusted EBITDA is presented as supplemental measure of the company's performance and exclusive of certain items that company -- that the company believes do not reflect the collaborations of the company. Non-GAAP measures should not be considered in isolation or as a substitute for GAAP financial information. Additionally, the company's definition of these measures may differ from those used by other company's making comparisons across organizations difficult. Finally this conference call contains time sensitive information that reflects management's best analysis only as of the date and time of this conference call. The company does not undertake any obligation to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after the date of this call. At this time, I'd like to turn the call over to the President and CEO, Richard MacPherson. Richard, the floor is yours.
Richard MacPherson: Thank you, Operator, and thank you, everyone, for joining us today. I'd like to welcome you to our fourth quarter 2024 financial results conference call. 2024 was a pivotal year for the company, highlighted by strong momentum in our core Air business and the launch of our new water purification business in the fourth quarter. Before diving into our financials for the quarter, it's important to reflect on Birchtech's journey and our mission. Established in 2008 as Midwest Energy Emissions Corp, our initial focus was on developing and commercializing the sorbent enhancement additive or SEA technology. This innovative approach has been instrumental in assisting coal-fired power plants across North America to effectively reduce mercury emissions, ensuring compliance with quality, attainable environmental regulations for the country. Birchtech's Air business built around our patented SEA sorbent technology that utilizes activated carbon and various halides was widely adopted across the coal-fired power industry due to its proven effectiveness in capturing mercury emissions. The success of this technology led to widespread adoption, but also, unfortunately, infringement, as numerous industry players began using our patent process without proper licensing or business supply from us. In response, since 2019, the company has aggressively defended its patents through legal action, and we've secured significant settlements and the landmark $57 million , unanimous jury award has been continued to convert infringing users into long-term licensing and supply partners. Inclusive of enhancements, interest and legal fees, our patent attorneys Caldwell Cassidy & Curry have requested a final judgment in the case of $160 million, which is currently pending a final decision from the court. Recognizing new and evolving environmental challenges, we expanded our activated carbon expertise into the water purification business with the launch of our new patent-pending water treatment technologies. Potable water utilities, our growing market and in need of more effective and affordable solutions. Birchtech's new water business is dedicated to developing those solutions. Our strategic and highly complementary technology expansion leverages our industry-leading expertise in activated carbons and underscores our commitment to addressing critical environmental issues through affordable and sustainable innovation. In essence, we aim to do for water purification what we did for air purification. Last year, to better reflect our Diversified Technology Portfolio mission, we rebranded as Birchtech Corp with a new ticker, BCHT. This rebrand aligns with our dedication to providing sustainable and effective solutions for both air and water purification and reinforces our role as a leader in environmental technologies. We are fast becoming America's clean coal and clean water company. During our fourth quarter last year, we also graduated to the main board in Canada with a move on to the Toronto Stock Exchange, one of the most prominent exchanges in North America. We were also privileged to elect Mitzi H. Coogler, CPA, to the Board of Directors. Mitzi's vast experience in finance and accounting makes her a strong addition to our Board that will serve us well as we enter an exciting new phase of growth and development, including the expectation to pursue a listing on a major U.S exchange during 2025. Now turning to the fourth quarter results, Birchtech's Air business drove robust revenues of $5.6 million with a strong 60% gross margin profile. While we -- while this is a slight year-over-year supply side revenue decrease, we believe the U.S coal industry has stabilized and based on the news we're hearing out of Washington could even be poised to grow as there is a growing movement to bring shuttered plants back online by bringing regulations back in line with the original MAS historical standards. We fully support this effort by the current administration as empowering American clean coal and keeping America's power plants online. Our technologies continue to offer coal plants the best, most economical process to produce maximum power while maintaining a true clean coal approach to power generation. The strong validation of our patent rights from major industry leaders, which included significant settlement in late '23 and the unanimous federal court jury verdict in early '24, with a final judgment expected in the near-term, has supported our steadfast protection of our innovative core technologies. We have continued these efforts in support of our company's growth and to the benefit of our shareholders. Most recently, we fired a number -- we filed a number of patent infringement lawsuits in the U.S. District Court. Since our litigation efforts commenced in 2019, our primary objective has been to enter into positive, mutually beneficial business relationships across the industry, and we've been successful with many of our previous defendants reaching license and/or supply agreements for the continued use of our highly efficient technologies for mercury emissions capture instead of having to go to trial. And to that end, in February, we secured a non-exclusive agreement with a second coal-fired utility named as a defendant in the company's lawsuit filed in Arizona, which was previously announced on July 30, 2024. Due to confidentiality agreements and ongoing litigation, the specific terms and cash infusion of this agreement cannot be publicly disclosed. We're happy to have reached a positive business outcome with this utility, which has and will continue to benefit from our patented technologies for years to come. Our outreach across the industry to secure similar business agreements continues through ongoing discussions with present defendants named in our recent lawsuits. We expect significant upside potential from our successful post-trial outreach program, converting adopters of our core technology to licensees and or product supply customers. Since 2020, we've obtained 10 new license agreements with coal-fired power utilities with several who've converted to direct supply customers. Looking ahead, given these tailwinds and the current administration support of coal power generation, we believe that we're well-positioned to grow our air business revenue to $23 million in 2025 and achieve an annual revenue run rate potential of $40 million by the end of 2026. During the quarter, we announced the launch of our water business with the opening of two new testing and consulting laboratory design centers, one located in Grand Forks, North Dakota, and the other in St. College, Pennsylvania. In these centers, led by nationally recognized experts, we offer a full-service solution for water utilities to deploy smarter, more affordable activated carbon technologies in support of the U.S's upcoming EPA's PFAS regulations and helping water utilities meet their day-to-day purification needs today. In 2024, the EPA released an estimated $1 billion annual cost over 5 years for USA Potable Water Utilities to meet the recent PFAS regulations. Now while it's possible that there may be certain changes related to these EPA regulations, we expect the Trump administration to remain steadfast in the flight for clean drinking water. Regardless of any changes to these regulations, water utilities are currently facing high expense in remediation costs underlined by what we feel is a lack of supplier alternatives and the rising raw material costs, which we aim to fix. The launch of our two new design centers are a significant component in our go-to-market strategy and in addressing the critical concern of affordability and contaminant removal faced by water utilities. These centers and the industry-leading capabilities they will provide are the culmination of a significant investment of both our time and resources that form the foundation of our water divisions entrance into clean water technologies, specifically in the area of removing forever chemicals from drinking water. We are evaluating both M&A and Greenfield opportunities to obtain a large-scale production facility for virgin and reactivated carbons at this time. Given the stronger expected gross margin profile of the water business, we believe that these plants will have an extremely quick payoff time and could be creatively financed in any number of ways, including several of which will be non-dilutive to our shareholders. In October, we marked our entry as a supplier to the water treatment market with an agreement to purchase up to 2,000 tons of feedstock to be used for the treatment of drinking water. This feedstock purchase has the potential to generate an estimated 7 million to 8 million or more in product for sales for Birchtech. And this feedstock is to be offered to multiple markets across the U.S. including water treatment plants and solution companies, which would include engineering firms. We'll be starting to do that in the second half of 2025. So taken together, our collective technologies are expected to provide significant revenue streams and opportunities going forward. Utilizing our team's strong expertise and world-class knowledge of activated carbons, Birchtech will continue to produce innovative, industry-leading solutions addressing critical environment concerns in both areas of air and water purification. Now, looking ahead for our Air business, we expect an accelerated pace of revenue, strong positive momentum from our current customers under contract, and multiple opportunities to scale. Growth is further supported by the stable U.S. coal power market, with increased energy demands for coal power from increased AI and general industry demands. Supported by these tailwinds, as noted earlier, our Air business alone has the potential to achieve an analyzed run rate of at least 40 million by the end of '26, just by signing on as supplied to the users of our technologies today. For our Water business, alongside the sale of traditional virgin and eventually reactivated carbons, we're focused on developing a superior technology expected to be completed and introduced in the second half of 2025. Looking ahead to this year, we expect revenues of at least $23 million in 2025 and that excludes any potential cash from legal claims in the defense of our IP as well as potential revenues from our Water business as I have stated. I'm incredibly proud of our team's accomplishments and believe there is significant value-add potential to come for our shareholders as we expand into the Water business. And with that, I'd now like to turn the call over to Fiona Fitzmaurice, our Chief Financial Officer, to walk through some key financial details from the fourth quarter. Fiona?
Fiona Fitzmaurice: Thank you, Rick. I will constrain my section to a concise review of the financial results for the fourth quarter. For a full breakdown of our financial results, please view our regulatory findings. Revenue for the fourth quarter of 2024 increased 37% to $5.6 million as compared to $4.1 million in the same year-ago quarter. The change was primarily driven by increased licensing revenues in the fourth quarter of 2024, offset by reduced product sales. Gross profit increased 230% to $3.3 million, or 60% of total revenues, in the fourth quarter of 2024, as compared to $1 million, or 25% of total revenues, in the same year-ago quarter. The change in gross margin was primarily attributable to increased licensing revenues in the fourth quarter of 2024, which typically carry higher margins than product sales. Operating expenses decreased to $3.4 million in the fourth quarter of 2024, as compared to $8.3 million in the same year-ago quarter. The change was primarily attributable to higher legal fees in the fourth quarter of 2023 compared to 2024 due to the income from legal claims in the fourth quarter of [technical difficulty] for the fourth quarter of 2024 was $1.3 million or negative [technical difficulty] as compared to a [technical difficulty] for basic and diluted share in the same year-ago quarter. Adjusted EBITDA, a non-GAAP measure, totaled a negative $0.2 million in the fourth quarter of 2024 as compared to $20.8 million in the same year-ago quarter. Cash as of December 31, 2024 totaled $3.5 million with no debt. I'd also like to briefly discuss the classification of our profit share liability to a current asset on our balance sheet. This is a non-recourse liability that will not be repaid from cash on hand and is only to be paid from any potential future proceedings of our $57 million patent infringement verdict, from which we requested $160 million from the court, inclusive of enhancements, interest legal fees and other items. Under GAAP Accounting Rules, the profit share liability is classified as a current liability as the company expects the proceeds from this verdict are likely to be received and the profit share from those proceeds repaid in calendar year 2025. So, ironically, the positive news of the company expecting receipt of these funds this year resulted in the profit share now being classified as a current liability. This completes my prepared comments. Now before we begin our question-and-answer session, I'd like to turn the call back to Rick for some closing remarks. Rick?
Richard MacPherson: Thank you, Fiona. Folks, looking ahead, we'll continue to maintain our stable position and realize near-term growth providing mercury emission technologies to the coal-fired power plant sector, leveraging our unrivaled technology and strong IP position, driving our revenue run rate to ramp up to a potential $40 million in the Air business alone by the end of 2026. In addition, we expect to realize considerable growth in our new Water business as we continue to develop new technologies allowing the affordable removal of toxins from water, inclusive of PFAS Forever Chemicals. We are on a robust growth trajectory for our Air business, further supported by significant incremental upside from the Water business, which positions us to create sustainable, long-term value for our fellow shareholders in 2025 and beyond. I very much am looking forward to bringing commercial news on our water side to the market as we enter the second half of 2025 and build the well-roundedness that I expect from the company going forward. And with that operator, let's open the line for questions.
Q - Timothy Quinlisk: Yes. Good afternoon, Rick. Quick question for you. I'm trying to figure out what additional steps are needed to validate the new GAC technology that you're bringing into the water environment, and what's your expectation at this point in terms of when you think that might be available to the marketplace commercially. Thanks.
Richard MacPherson: Good question, Tim. Thank you for that. So we designed both centers, the one in North Dakota and the one in Pennsylvania, to work together in order to carry out comparative testing for utilities and their engineering firms. And what that means is, starting actually late in the second quarter, we'll be doing comparative testing, head-to-head testing with our technologies against the best that's being used in the market today. We have a queue of utilities and engineering firms lined up that would like to go through that process. And one of the advantages that we now have over pretty much the rest of the market is that we can do simultaneous testing in a very quick fashion to give real-world results. So we will be able to start doing that, bringing the results of that head-to-head testing to market. What I'm doing as well, or what we're doing as well at this time is taking that feedstock contract and moving forward with it so that in Q3 we'll actually be able to start providing commercial level products in order to meet the demands that come out of that head-to-head testing. So, in a nutshell, we'll begin our testing second quarter and begin our sell-through on product third quarter. We'll be bringing news to market on the specifics of that as we get through it.
Timothy Quinlisk: Okay. And Rick, just from a regulatory or approval perspective, do you need to get -- is it BACT kind of certification? Is that critical for this new activated carbon product?
Richard MacPherson: No, it's not, Tim. Best Available Control Technologies, any designation like that does not enter into it. There is a set criteria that each utility has to meet in order to purify the water for their citizens, and we'll be providing materials that will make sure they maintain that compliance.
Timothy Quinlisk: Okay. And then just a final follow-up. Rick, are you hearing anything on the DC front that would suggest that there could be any material changes in the water regulations in terms of PFAS as you look out in the next couple of years?
Richard MacPherson: Frankly, I think the past EPA regulations with regards to PFOA, PFOS, were quite aggressive. I think the new administration and the new director of EPA have a very real look at what can be done in a reasonable amount of time for a reasonable cost. And I think that lends itself to companies like ours creating technologies that will have higher efficacy than what's available today so that there is a meeting of the two worlds. I think we can provide materials that are more economical and more effective and thereby allow the industry to meet obligations beyond where they are today in a more effective fashion. We'll be working with the industry in order to prove that over the latter half of 2025, in particular, much like we did in the era with the mercury control. The standard was a brominated [ph] activated carbon that was used in a large amount at a power plant in order to be able to get into compliance. And our process cut the use of those brominated activated carbons in half or more and still maintain compliance. And that's the sort of thing we're attempting to do here in water purification, provide a technology, GAC, that will be most effective and economical so that the industry can go after and collect these PFOA, PFOS without having to suffer tremendous increases in cost.
Timothy Quinlisk: Okay. And then just shifting quickly over to the air side, there's been some reports out that some of the shuttered coal-fired plants may be starting to come back online here at some point. Are you seeing any indication of that in past plants that you supplied solutions for? And are you seeing any indications of volumes remaining pretty solid or steady here as you look out?
Richard MacPherson: So, Tim, we haven't seen -- we haven't been approached by anybody who's shuttered that's coming back online to get ready to help them in compliance. But we have gotten notices from folks that were planning out to shut down in 2027 or beyond that they've changed their plans, they won't be doing that anymore. So I think the change in the EPA regulations will stabilize the market and indeed, yes, may increase it overall. It's running between 16% and 17% of the base load of the fleet now. I could see that going into high teens over the next year or two or beyond. But the critical component is if the new administration can put through the changes it's looking for, then the coal market should be strong for decades to come with a very good base percentage of the fleet in the 20% or more.
Timothy Quinlisk: Okay, great. All right, great. Thank you, Rick, I appreciate it.
Operator: Thank you. [Operator Instructions] And our next question comes from Steve Sutherland, National Bank Financial. Please receive this question.
Steve Sutherland: Hi, Rick. It's Steve Sutherland. I had a question about the water remediation in the future tests outside the laboratory tests you've been doing and what gives you confidence that those tests are going to achieve the results that you've been getting so far?
Richard MacPherson: Good question, Steve, and really comes down to the pedigree of the people doing the testing. We aren't a group of inexperienced scientists and engineers trying to develop something in a lab with a lot of theory and very little practical know-how. The team that work at Birchtech have designed, built, and operated GAC plants for decades. They have worked in consultation with EPA, DOE, and other major GAC suppliers for decades. The carbonaceous material know-how that we are employing in real-world terms is unmatched in the country from a development point of view. When our guys develop something, it's with a very, very practical approach that if it's not commercially viable, it gets tossed. So I can say firsthand that what comes out of our labs will be proven prior to going to commercialization to be the highest standards of material that you can buy. We don't want to produce something that's as good as the best players in the game have. We want to produce something that's much better. And the efficacy of what we've produced to date is in the 20% to 30% higher range in terms of removal of specific toxins than anything that's out there in real world conditions. Although it is in a lab situation, our labs were built specifically to give real world results in a batch plant type of environment. So we're very confident that when we go to market, we will be able to generate real-world results. And the testing facility in particular in North Dakota is set up to do head-to-head testing with utility samples, water samples, and their best materials that they can bring simultaneously and in a very quick fashion. So, Steve, very much like what we did when we started in the air business. We traveled at that point plant to plant to dozens and dozens of plants around North America doing head-to-head testing against whatever the utility had available to them as their best choice to remove mercury. What we've done here is design a system based on that know-how, which will allow us to do head-to-head testing in our facilities without having to take months and months to get to the results and without having to spend hundreds of thousands of dollars in order to get the results. And so we're very pleased with this new approach, which we think will not only underwrite our commercial entrance into the industry, but change the way utilities operate in terms of testing new products that come out that could be beneficial for them.
Steve Sutherland: Okay, that's great. Rick, thank you.
Richard MacPherson: You're welcome.
Operator: Okay, thank you. And with that, this does conclude our question-and-answer session. I will now hand the call back to Chairman and CEO, Rick MacPherson for closing remarks.
Richard MacPherson: Ladies and gentlemen, thank you very much for spending time with us today. I know we've spoken a lot today about many different things. I would just hope that you would watch us and watch our news over the next 8 to 10 months of the year, and you will see that we will be executing on all of these things that we have been working on diligently for the past couple of years to develop. Very much looking forward to transitioning the company into the clean coal, clean water company that we aim to be. Thank you very much.
Operator: Thank you. With that, this does conclude today's teleconference. Thank you for your participation. You may now disconnect your lines at this time.